Raymond Jones: Greetings everyone, and welcome to our Fourth Quarter and Fiscal Year 2025 Earnings Conference Call. This call is being conducted as a Zoom audio webinar. [Operator Instructions] We will make forward-looking statements during this call which are subject to risks and uncertainties. A summary of these risks can be found in the risk factors section of our Form 10-K filed with the SEC today, March 2, 2026. These statements are based on assumptions we believe reasonable as of today, and we have no obligation to update them except as required by law. We will also present both GAAP and non-GAAP financial measures. Reconciliations are included in our earnings press release on our Investor Relations website. This is an audio-only call with no slides. Our updated investor deck is available as a reference on our Investor Relations website. We'll begin with a business update by CEO, Lauren Antonoff, then CFO Russell Burke will review financials, followed by Lauren's 2026 outlook, and then Q&A. Please limit questions to one per participant. I'll now turn the call over to Lauren.
Lauren Antonoff: Good afternoon to everyone from the U.S., and good morning to those tuning in from Australia. Thank you for joining our fourth quarter and full year results call. We've got a lot of material today because there is a lot going on that deserves deeper discussion. 2025 was a landmark year for Life360. For the first time in company history, we achieved annual net income of over $32 million, even excluding a one-time non-cash tax benefit, reflecting both the fundamental strength of our freemium model and the operating discipline we've built over the past several years. Full year revenue grew 32% to nearly $490 million, adjusted EBITDA more than doubled to over $93 million and we exited the year with more than 95 million monthly active users and 2.8 million Paying Circles. Beyond the numbers, we made significant progress building our family super app platform. We introduced Pet GPS, our first fully in-house created device, which we launched simultaneously across five global markets. We acquired Fantix, enabling Place Ads and Uplift. And we completed the Nativo acquisition in January 2026, creating a full-stack advertising platform with Fortune 500 relationships and thousands of publishers. These platform investments position us well for the next major shift reshaping our world, AI. We see AI as an opportunity to accelerate our path and deepen our moat. We are well into the transition to an AI-first world, and I want to share why we're so confident in our position. First, our core use case is durable because it's anchored in real people moving through the physical world. While AI will reshape our product experience, it does not replace your child, your spouse or your pet. As for the market concern that AI will eliminate the need for software products, code is only a part of what we do. Family relationships and physical world services like crash detection, emergency response and roadside assistance go well beyond what software alone can provide and they are essential to the peace of mind that families rely on us to deliver. Second, AI makes our data more valuable. For many products, data doesn't need to be fresh. A year-old forum thread is nearly as useful as a new one, and once absorbed in a model, you may not need the source at all. But our data is fundamentally different because by its nature it's real-time, continuous and perishable. Where your child is right now can't be learned from a training set. We keep this dataset within our walled garden, and the market is already placing a premium on access to it, validating both its scarcity and its strategic value. Third, AI enhances our ability to delight customers. Today, members engage with Life360 by briefly checking the map or reading notifications. With AI, we can start to play a more active role in our members' lives, telling you that there's a soccer game at 3 or making sure you know you're the one getting the kids and that you have directions to the field, and reminding you that you need to leave in 30 minutes so you won't be late. AI connects the dots, so you can focus on real life. Where earlier apps have failed because they put the burden on parents to plan ahead, our location intelligence powered by AI can simplify organization for busy parents, deepening the value we offer families. Fourth, AI is improving our execution. The trajectory is promising as organization-wide AI adoption has grown from about 25% to almost 95% in the past year. This is already increasing the pace at which we're delivering product capabilities and experiences that drive growth, further bolstering our confidence in achieving our 20% MAU target for 2026. Over time, it will accelerate our path to creating significant operating leverage. Finally, we understand the power of platform shifts because we were born from one. Life360 was founded on the early recognition that mobile would reshape how families stay connected, and we look forward to leading the charge to help families navigate this transformational shift. At the same time as AI is transforming how we work and what we do, we enter 2026 on track to achieve our multi-year strategic goals, surpassing 150 million MAU and $1 billion in annual revenue, delivering continuous adjusted EBITDA margin expansion on our path to 35% plus, and becoming the #1 brand that makes everyday family life better. To achieve these goals, we continue to grow our user base, scale our paid offerings, expand our revenue streams and enhance our profitability. We'll touch on each of these briefly. Let's start with user growth, which is the engine that fuels both subscription and advertising revenue. In 2026, we expect 20% MAU growth for the full year, with significant quarterly variation in net adds and growth weighted toward H2. Our MAU growth engine operates through 2 complementary mechanisms: product improvements and marketing which supplements organic adoption. Both fluctuate due to the varied timing of product improvements and marketing investments, along with unpredictable acquisition spikes, especially in emerging markets. While user growth remains a bit volatile quarter-to-quarter, we expect to continue steady annual MAU growth. Remember that after strong acquisition quarters, a meaningful share of new users shift from active to passive. Think about a parent who checks the app regularly, while their spouse relies on notifications. Both are still getting value, but in this scenario, only one is counted in MAU after the first month. Product-led growth benefits from specific improvements and new features like driver reports, no-show alerts and device integration as well as network effects from happy members, and both of these compound over time. Across communities, word of mouth drives penetration as trust builds through social proof. At the platform level, our growing base of nearly 100 million users attracts partners like Uber and AccuWeather, and those partnerships in turn create new reasons for families to use and stay on Life360. Features like our Pet Finder Network and Pet GPS extend that flywheel further, broadening our relevance and fueling our progress toward super app status. Turning from product-led growth to marketing-led growth, our marketing now spans the full customer journey. At the top of the funnel, we focus on awareness with evocative video ads you may find on YouTube or premium placements like the Olympics. Mid-funnel, we work with influencers and podcasters to enhance consideration and reinforce our family positioning. At the bottom of the funnel, we deploy sophisticated performance marketing to drive installs and registration. We've validated our hypothesis that by investing more in the upper funnel, we improve efficiency of our lower funnel marketing, so we're putting more dollars behind our brand. To that end, during the Super Bowl, we launched the third chapter of our Family Proof Your Family brand campaign, which had prominent placements across NBC's streaming and broadcast networks during the Olympics. These campaigns represent a significant step forward in building Life360's reputation as the trusted family brand at scale. And we followed up with targeted campaigns leveraging the Life360 Advertising Platform further down the funnel. Our biggest growth opportunities are in international markets, where penetration averages low-single-digits compared to 16% in the US. In more developed markets like the U.K. and Australia, we're focused on deepening penetration and monetization. In emerging markets like Mexico and Brazil, we're in the earliest stages of penetration and we're focused on growing awareness and adoption, and we expect continued variability in growth rates. Our second key focus is on scaling our paid offerings. Paying Circles grew 26% in 2025 reflecting the increasing value we deliver for families and the impact of continuous funnel optimization, which is driving record conversion rates. As we expand the platform with capabilities like Pet GPS and eventually aging parents, families see more value and discover more reasons to move into premium tiers. At the same time, International ARPPC remains 40% to 50% below U.S. levels, representing a multi-year runway of natural monetization upside as those markets mature. Our near-term priorities are growth of our membership and subscriber base, but our wide remit addressing the needs of everyday family life opens limitless opportunities to create member value, presenting a pricing opportunity with significant headroom. Tile and Pet GPS extend Life360 into the physical world, giving families new reasons to join and deepening engagement with existing members. Devices serve as a subscription growth mechanism, not a standalone hardware business. For Tile specifically, we've decided to exit brick and mortar retail and focus distribution on direct and online channels where we can better control the full customer journey from purchase to subscription activation. Pet GPS launched exclusively through direct and online channels from day 1. To give you a perspective on the Pet GPS opportunity, in the few short months since we introduced our Pet Finder Network, we now have almost 5 million pets registered and nearly 90% of those are in free circles. That's a large, growing, identifiable audience we can convert to paid over time. Multi-year subscription revenue from converted users far exceeds the device investment, so we're prioritizing adoption over device margins and getting the model right over near-term device volumes. Initial response has validated our Pet GPS thesis, and now we're optimizing unit economics, pricing and supply chain to maximize subscription growth. This disciplined approach reflects our long-term focus. Our third area is expanding our revenue streams, with advertising as a transformational opportunity to build a high-margin business that complements subscriptions. With Fantix, which we acquired in early 2025, we built the intelligence and measurement layer that let us launch Place Ads and Uplift. With the acquisition of Nativo that closed in January 2026, we now have the pieces in place to operate a full-stack advertising technology platform. The logic of this combination is straightforward. We have nearly 100 million users and the richest first-party family location dataset in the market, but we were early in building the ad tech platform and off-site reach needed to scale. Nativo had hundreds of advertisers and thousands of publisher relationships, along with a mature ad-tech stack and salesforce built over more than a decade, but no first-party data or audience of its own. Let me explain what this combination means in practice. Before Nativo, we were effectively limited to showing ads inside the Life360 app, reaching approximately 40 million ad-eligible U.S. users. Now, we benefit from direct integrations with thousands of publishers, including news sites, lifestyle content and connected TV. We can take our first-party data, the fact that we know that this is a household with 2 kids, a dog, and a parent who drives to soccer practice every Saturday, and use it to serve ads not just inside Life360, but across that entire publisher network. When that parent is reading an article or streaming content, our data is powering the ad they see. And because we have real-world location data, we can close the loop and tell the advertiser whether the ad actually generated store visits. Importantly, this includes our passive users, members who rely on notifications rather than actively opening the app. Place Ads reach these users at the moment they're moving through the physical world, meaning that even members who are not counted in MAU represent monetizable audience inventory. And throughout all of this, the data never leaves our ecosystem. What our offsite platform enables is that every new publisher relationship becomes another canvas for our ads. That's what takes us from 16% reach to over 95% of ad-eligible adults in the U.S., and even more as we expand internationally. The U.S. digital advertising market is massive, over $400 billion and growing. The majority flows to 3 platforms, but more than $100 billion is spent across the open web, connected TV and premium publishers, where advertisers are actively seeking better data, better targeting and real-world measurement. That's exactly what our platform delivers and we're uniquely positioned to win in this market. Over the long term, we believe that advertising revenue can rival the scale of subscriptions and ensure that every family can access Life360 in the way that works best to them, whether that's a free ad-supported experience or a premium subscription. The result is a truly multi-engine platform with diverse high-margin revenue streams. Now, I'll hand it over to Russell to review the financials and discuss how we're enhancing profitability through operating leverage.
Russell Burke: Thanks Lauren, and thanks everyone for joining the call today. As a reminder, the financials I'll be referencing are unaudited for Q4, audited for full year 2025 and denominated in U.S. dollars. Let's start with the fourth quarter. Q4 revenue increased 26% year-on-year to $146. million, reflecting strong performance across our business. Overall, subscription revenue increased 30% year-over-year to $102.5 million. Core Life360 Subscription, which excludes hardware subscriptions, increased 33% year-over-year to $97.3 million, driven by the 26% increase in global Paying Circles and 6% higher ARPPC. Total Paying Circles growth was supported by improved conversion globally, with Q4 quarterly subscriber net additions achieving a new record. Other revenue in Q4 increased 86% to $24.2 million, driven by continued scaling of our advertising platform and growth in data partnerships. The significant year-over-year increase reflects the ramping of our advertising capabilities and increasing advertiser demand. December annualized monthly revenue reached $478 million and increased 30% year-over-year, reflecting the strong performance of subscription and other recurring revenue. Hardware revenue for the quarter was $19.3 million. While hardware revenue declined 19% year-over-year due to promotional pricing and product mix, device unit shipments increased 3%, as we integrate hardware more deeply into the Life360 subscription experience. As we've stated previously, our strategic focus with hardware remains on expanding the member experience and ultimately our subscriber base rather than near-term hardware margins. In 2026, we've made the strategic decision to exit physical retail and focus exclusively on direct-to-consumer and online channels like Amazon. Unit volumes are expected to decline year-over-year as we eliminate retail margin pressure and optimize pricing in our digital channels where we control the full customer experience. Q4 gross profit of $109.7 million increased 28% year-over-year with gross margins of 75%, higher than the prior year. The stability in gross margin reflects the balance of high-margin subscription and other revenue with strategic investments in hardware. At the device level, Pet GPS margins were negative as we priced for market penetration rather than near-term profitability. We expect this approach to continue in 2026, with device margins fluctuating quarterly between breakeven and negative. In Q1 we expect negative device margins as we conduct extensive price testing with Pet GPS and absorb the impact of our exit from brick and mortar retail. However, our consolidated gross margins remain strong in the 75% to 78% range, driven by high margin subscription and other revenue which continue to become a larger part of the mix. Q4 total operating expenses remained flat as a percentage of revenue year-over-year at 69%. Q4 operating expenses excluding commissions increased 26% year-over-year versus subscription revenue growth of 30%. This demonstrates our continued operating discipline even as we made strategic investments in Pet GPS launch and international expansion. R&D costs increased 12% year-over-year to support our expanding product suite. And importantly, our AI investments are embedded within this existing cost structure and will help us build faster and work more efficiently. Sales and marketing costs increased 25% year-over-year, driven by higher commissions and planned Pet GPS and seasonal marketing. Q4 G&A increased 55% year-over-year, supporting company growth and our expanding advertising platform and importantly including transaction costs related to the Nativo acquisition. We expect G&A costs to normalize in 2026, inclusive of AI investments. We continue to make substantial progress in expanding profitability. First, we recorded positive net income of $129.7 million in Q4, up from $8.5 million in the prior year. And I note that it includes a one-time, non-cash tax benefit of $118.4 million. Next, adjusted EBITDA increased 53% to $32.4 million in Q4 from $21.2 million in the prior year, with adjusted EBITDA margin expanding to 22%, our highest quarterly margin to date. This performance demonstrates the significant operating leverage inherent in our business model as we scale. That operating leverage carries into 2026 as we expand high margin subscription and other revenues, even as we make growth-oriented investments and integrate Nativo in the first half. Advertising in particular creates high incremental margins as it scales in the second half, partly related to seasonality, but also importantly leveraging our existing infrastructure and user base. Looking briefly at the full year results for 2025, which exceeded guidance across the board. Total revenue increased 32% year-over-year to $489.5 million. Gross margin expanded to 78%, 3 percentage points higher than 2024. Total operating expenses grew 26% year-over-year, but declined as a percent of revenue, driving strong operating leverage. Net income for the year was $150.8 million compared to a $4.6 million loss in 2024. This marks our first fully profitable year in company history, even excluding the one-time non-cash tax benefit. Adjusted EBITDA increased $47.7 million year-over-year to reach $93.2 million, exceeding our outlook range with margin expanding from 12% in '24 to 19% in 2025. Turning now to the balance sheet and cash flow. Life360 ended 2025 with cash, cash equivalents and restricted cash of $495.8 million, a significant increase from $160.5 million at year end 2024. This increase was primarily driven by operating cash flow and the net proceeds from our June 2025 convertible notes offering, which provided $275.4 million in net proceeds, partially offset by the $25 million investment in Aura convertible notes. The result is a substantially stronger balance sheet with significant financial flexibility to invest in our highest return growth opportunities, while maintaining disciplined capital allocation. Operating cash flow was positive again in Q4. Net cash provided by operating activities of $36.8 million during the quarter increased nearly 200% from $12.3 million in the prior year, reflecting our strong and accelerating cash generation. For the full year, operating cash flow reached $88.6 million, up $56 million from 2024. Thanks for your attention, and I'll hand back to Lauren to discuss our 2026 guidance.
Lauren Antonoff: In 2026, we're doing 3 things simultaneously; investing in our highest return opportunities, accelerating revenue growth and expanding margin. That combination is reflected in our full year outlook as follows. Annual MAU growth of 20%; consolidated revenue of $640 million to $680 million; subscription revenue of $460 million to $470 million; other revenue of $140 million to $160 million, driven by the rapid scaling of our Life360 advertising platform following the Nativo acquisition; hardware revenue of $40 million to $50 million, as we narrow distribution to focus on channels that drive stronger subscription attachment; and adjusted EBITDA of $128 million to $138 million. Stock-based compensation is anticipated to be 40% higher than last year largely due to increased headcount from Nativo. This range represents approximately a 20% adjusted EBITDA margin, another step in our multi-year path of continuous annual expansion toward our strategic target of over 35%. Given a few factors unique to 2026, we want to provide some additional color on quarterly modeling. Russell is going to walk through those points before we conclude.
Russell Burke: Thanks Lauren. We have strong conviction in our full year guidance, and we take pride in delivering what we say. With that, there are a few quarterly dynamics worth walking through so that models reflect what we expect throughout 2026. Our strategic investments are concentrated in the first half of the year. At the same time, our revenue profile has shifted. Advertising in particular follows a seasonal pattern where growth concentrates in the second half. Our investments are front-loaded, our revenue acceleration back-loaded. That combination creates quarterly variability in MAU, revenue and margins that normalize as the year progresses, and that dynamic is fully reflected in our full year guidance. Let me walk through 3 Q1 factors specifically. First, adjusted EBITDA margin percentage in Q1 is expected to be in the low-double-digits, driven by Life360 advertising platform margin contribution timing, the Pet GPS promotional pricing, which is designed to maximize subscriber adoption and front-loaded advertising and marketing. These are all intentional investments concentrated early in the year to fuel growth as we scale. Second, device revenue in Q1 is expected to be approximately 50% lower than Q1 last year due to our brick and mortar retail exit. Hardware gross margin will also be negative in Q1. This impact is reflected in our full year guidance range. And third, on MAU, Q1 year-over-year growth will come in below our full year rate of approximately 20%. As Lauren discussed, quarterly MAU growth after a strong quarter tends to retrace. We expect MAU growth to be more back-half weighted, due to product-led growth investments and scaled marketing in new geographies building through the year. As our growth investments normalize during the year, we expect Q4 2026 margin to exceed the 22% that we just delivered in Q4 '25, reflecting continued build of operating leverage with subscription momentum, and the Life360 advertising platform delivering meaningful contributions in the second half. Additionally, for context on Nativo's contribution to our 2026 outlook: Nativo's unaudited 2025 revenue was approximately $63 million at effectively breakeven adjusted EBITDA. We expect a majority of that revenue base to carry forward into 2026 in the Life360 advertising platform, with incremental growth at significantly higher adjusted EBITDA margins in the second half, as integration completes and cross-platform campaigns ramp through the year. That concludes our prepared remarks. I'll now turn over the call over to RJ to manage Q&A.
Raymond Jones: [Operator Instructions] First, we'd like to open it up to Mark Mahaney to ask a question.
Mark Stephen Mahaney: Okay. 2 questions. The international growth, Lauren, that you talked about and wanting to lean into that, do you view that as needing to be run more by -- is that more driven by product or by marketing? Which of those 2 kind of gets that international penetration up even ballpark close to the U.S. level? And then you talked about these record net new adds in the December quarter. Just what's the source of those new adds? Anything interesting there in terms of different markets, I don't know, different demographics, different verticals? Any new color on where those net adds came from?
Lauren Antonoff: Thanks, Mark. I'm going to focus on the international question because I think it's really important. There's often this question about is it product or is it marketing? And it really is the interplay between both. We're investing to make sure that the product works great for users outside of the U.S. And that means improvement in things like the Android platform, our localization and features really tailored towards those markets. But that only works if users in those markets know about our product. And so product improvements and marketing really go together and complement each other as we grow.
Raymond Jones: Great. Thanks, Mark. Next, we're going to open it up to...
Mark Stephen Mahaney: My second question?
Raymond Jones: I'm sorry, Mark?
Mark Stephen Mahaney: My second question about the...
Raymond Jones: Q4 MAU growth.
Russell Burke: Mark, I would say that there's not any one thing that stands out there. We got good contribution both from the U.S. across the board and from international, particularly the lead countries that we're really active in.
Raymond Jones: Next, I'd like to open it up to James Bales with Morgan Stanley.
James Bales: I guess, I'd like to understand a bit about what has driven the conversion improvement to paid and whether you have any thoughts on the relative growth that we should be expecting between subs and MAU growth in 2026?
Lauren Antonoff: So the 2 things that drive improvement in conversion is the value that we create in the product and then optimizations we make in the funnel along the way. And these 2 things really go together. We've added new value, things like improvements we've made in our drive reports or things like Pet GPS, but we also do a lot of testing and experimentation in our funnel to find ways to help customers understand the value that we have in the product and suggest to them at those right moments.
James Bales: Perfect. And your thoughts about the sustainability of that improvement?
Lauren Antonoff: There's a lot of room. There's certainly a lot of room in creating value. And we're actually seeing a lot of -- we're going a lot faster using AI to speed up that kind of optimization. So it seems like we have a lot of headroom left.
James Bales: Perfect. Maybe just one other question. You talked about the margin profile for Nativo. Could you maybe help us understand the gross margins that you expect to achieve in the first half on a run rate basis for the advertising business? And post integration, what those gross margins can get to?
Russell Burke: Yes. James, I think what I would say is that really off the bat, we are going to get really good gross margins from the Life360 advertising platform. The thing to understand about Nativo is that it's really given us all of these extra tools. It's given us the infrastructure, the sales team, the relationships that will really help drive that growth, particularly in the second half. And there is an element of fixed cost that comes along with that. But the gross margins themselves are very strong.
Raymond Jones: [Operator Instructions] Next, we'd like to open it up to Lafitani Sotiriou from MST.
Lafitani Sotiriou: Congratulations on the strong result. And I appreciate the extra color on AI. Can I dive a little more into this? So you both said you want to build faster and work more efficiently. Can you just talk us through in terms of the build faster? I know that Nativo is new, but we previously had on the road map the seniors offering. I can see now that you've also got partner ecosystems listed. Can you talk us through what does that mean by running faster? So what's scheduled for this year? And then on the same time, if you are going to be able to work more efficiently, what's that mean from a cost perspective? Does that mean that you're pretty happy with the number of staff you've got now that you'll be able to sort of keep it pretty steady into the future?
Lauren Antonoff: So I'll start by saying that we think of our company as very early in our growth trajectory, which means there's a lot of value for us to create. We have a lot of work to do, and we're excited to put more resources against those things. AI helps us do that more efficiently. I'll just give you one example. There's a certain period of time that when you have an idea for a new feature, it takes you to bring that feature to market. And there's all sorts of steps you go through from early ideation to writing the code to testing the code. And we're applying AI in every stage of that. It is helping us ideate and prototype faster. It's helping us get that code written very, very quickly. And it's helping us test and iterate on those features. So that helps us take these ideas, these ways that we can create value and deliver them faster. I am not going to preview and tell you all the features that we haven't yet released, but it's helping us accelerate our road map. One of those areas that we're invested in is partner ecosystem, and that's sort of the example of working with the AccuWeathers and the Ubers to bring third-party capabilities forward to our members through our experience.
Raymond Jones: Next, we'd like to open it up...
Lafitani Sotiriou: On the cost side? We didn't -- sorry, the part on the cost side efficiencies wasn't answered.
Russell Burke: What I would say, Laf, is that we are continuing to see efficiency gains there. We want to play those gains into growth in '26, and there's a lot on our road map, as Lauren referred to, to do that. So we don't necessarily expect sort of gross cost claw backs in '26.
Raymond Jones: Next, we'd like to open it up to Maria Ripps from Canaccord to ask a question.
Maria Ripps: I think you mentioned nearly 5 million registered pets with nearly 90% of them in free circles. It sounds like your near-term goal is to sort of grow penetration here. But can you maybe help us think about sort of deepening monetization among the circles with -- these free circles with pets? And would that approach be different from sort of how you're thinking about sort of monetizing free circles more broadly?
Lauren Antonoff: So it's really heartening for us to understand more about our members. And when we understand them better, we can serve them both through our subscriptions and through our advertising business. It sort of opens up both capabilities. So this is why experiences like our Pet Finder Network are useful. They create substantial value to families and another way to make sure that every pet is safe and protected, not just those for subscribers. And doing that also gives us insight that's certainly attractive to people advertising in the pet market. Was there another point in your question that you were interested in? It's a little hard to hear you. So if you can speak up, I can answer more.
Maria Ripps: I was just trying to understand how that would be different from monetizing sort of free circles in general, but I think you sort of answered that.
Raymond Jones: Next, we'd like to open it up to Bob Chen from JPMorgan.
Bob Chen: Just a quick one for me around the partner ecosystem piece. I mean we saw that announcement with the partnership with Uber. Like how does that flow through into your financials? Does it come through as additional advertising type revenues? And is that what we're looking for in the partner ecosystem?
Russell Burke: It will come through in a few different ways, definitely advertising, but there's also, as we get deeper into that relationship, both the subscription benefit on our side and also for Uber. So it will come through in a couple of different ways.
Lauren Antonoff: And I'll add that you'll also see it come through in our product experiences and the value that we deliver for our members.
Raymond Jones: We'd like to open it up to Mark Kelly or Brennan Robinson, if they're on the line. It looks like they might be on the dial. Not sure if they're there. Okay. We'll go back to them. Next, we'd like to open it up to Siraj from Citigroup.
Siraj Ahmed: Lauren, just keen to double-click on your comment or just in terms of the guidance for MAU, the first quarter being lower than the 20% and then stronger in the second half. Maybe because you have the big advertising campaign with the Super Bowl, etc., in the first quarter, has that -- how has that tracked? It does seem like the guidance does -- as you said, the product improvement. Just keen to understand how you -- the confidence levels in the 20% growth given it could move around, right? So just keen to understand the confidence and what -- how much comfort do you have in that sort of 20% range?
Lauren Antonoff: Our confidence is good, and we're coming off a lot of momentum in 2025 and setting a big goal for 2026, but we see that trajectory very clearly. The advertising campaigns that we do, especially brand-building campaigns like that are really designed to drive demand over a longer term horizon. And so they're letting more people know about us, and then we follow through and convert those people to registrations over time. And so it's not necessarily -- we don't necessarily see the impact in quarter. And the signals that we're seeing in terms of that awareness look really good to us.
Raymond Jones: Next, we'd like to open up to Wei-Weng Chen from RBC.
Wei-Weng Chen: Just a question from me on AI efficiency gains. I guess there have been a few corporates such as Block and WiseTech here locally that have cited AI efficiencies as the rationale for large scale reductions in workforces. Is this something that could be a potential reality for 360? And maybe more philosophically, can you give us your thoughts on these sorts of dramatic actions?
Lauren Antonoff: Maybe I'll start this one, Russell, and then you take over. But we have been really intentional about how we grow and making sure that we are being efficient with our resources. The other thing that's really, really different is that we are much earlier in our growth prospects. We have a lot of room to go. And so for us, this helps us sort of punch above our weight and grow faster to achieve that sort of next wave of growth for us. It's different than more mature companies who have over-hired and need to slash back. And so I think you will expect to see something very different from us. But Russell, you take it from there.
Russell Burke: I'd probably just reiterate several of the same things. We are so early. Our employee headcount is relatively low. We look at things like revenue per headcount, and we're very well positioned there. It's just not something that we're in that -- at that stage as some of these companies that did over-hire in COVID, for example, it's just not necessary, and it would disrupt our growth.
Raymond Jones: Next, we'd like to open it up to Stephen Ju from UBS.
Stephen Ju: Great. So it might be a little bit early to ask this question, but I wanted to see if you guys can shed any light on the type of advertisers that are on Nativo. Just kind of eyeballing the list of folks there. It seems like they're more awareness and brand oriented. But I guess, given the location data that you have, it seems like there's probably all kinds of opportunities to run performance advertising. So I'm just wondering what -- who are on there now and what the outreach effort is going to be to onboard some of the performance budgets?
Lauren Antonoff: I'll say that the advertising base is quite diverse. And one of the things that being able to run offsite ads and different publishers lets us do is deliver different types of platforms, different types of advertising experiences for different advertisers with different needs. I don't have a long list of specific names, but a funny anecdote as we were preparing for this. There's at least some companies who said, like, we don't want you to use our name because we don't want you to tell everybody that we can see such positive outcomes that we're seeing. So I don't know, Russell, if you want to add anything more to that, but...
Russell Burke: I guess the only other aspect is because we are now able to utilize both on-app and off-app, as Lauren said earlier, the range of people that we can access is very much more attractive to big corporate advertisers. And because of that, we're able to access sort of campaigns that we just weren't able to do before.
Raymond Jones: Next, we'd like to open up to John Marrin. John, you can unmute.
John Marrin: Unmuted. I'll try and ask one question. Maybe there'll be a few answers to the one question. I think I just wanted to tease out a little more about the Nativo acquisition. And I know it's a bit early, but maybe if you could just speak to their readiness to execute on the data opportunity that you basically handed them. Just maybe if you could talk about traction you've seen there to date and what your deterministic data might provide in terms of pricing uplift relative to the business they were doing previously. Maybe just a little more color around that and maybe the type of investments you have to make on that team in the first half of this year to help them win bigger engagements.
Lauren Antonoff: Yes. I've actually been really impressed with the alignment we have between the teams. I've been through a lot of M&A. And this one, the puzzle pieces fit together better than typically. So we're seeing good traction. It is early on, but we feel great about where we're going. In terms of things like pricing, we actually -- we think we have a lot of efficiencies that come from things like having our own built-in audience, having the data set that we have. It really sort of optimizes the cost -- the margin profile quite a bit. We haven't focused as much on pricing yet. I think that's something we'll look at later on.
Russell Burke: And the other thing I'd say is it's not -- we're excited about bringing that team on board. That team is excited about having the extra capabilities that Life360's first-party deterministic data provides to what they're out there selling. So, so far, it is just looking like a great combination.
Lauren Antonoff: And I'll I just -- one thing that I'll add is that in bringing them together, it really helps us create a walled garden where we can reach those 95% of U.S. adults while keeping the data in the walled garden and providing the sort of privacy and family-safe experience that both our customers and advertisers want.
Raymond Jones: Next, we'd like to open it up to Chris Smith. Chris, can you unmute?
Chris Smith: Look, just really interesting, Lauren, in the point you made around pet and the opportunity there. Now clearly, you're cycling a very difficult comp in terms of MAU growth in first half -- first quarter '25, apologies. But if you look at the 5 million pets or 90% you said are in free MAUs, like that's the potential for you to take the Paying Circles up 50% if you convert them all. Could you maybe just help us think through, I guess, how we should think about that conversion opportunity through this year as you are investing in the pets through the first half?
Lauren Antonoff: Yes. I'm super excited about that opportunity. And everything we've seen so far tells us that long term, this should make a significant step in that -- in our subscription penetration. The key thing is that we're early in introducing pets and Pet GPS to our audience. And we want to make sure that people understand it, that we know who they are, that we educate them that we're in the pet business and that we help them understand the value of the types of devices that we have. Right now, the notion of putting a GPS on your pet is still new to most people. And so it's going to take us some time to build that. And we're more focused on sort of a multi-year horizon than trying to rush to get the maximum sales in the short term.
Russell Burke: Next, I could open up to Rob Sanderson with Loop.
Robert Sanderson: Can we talk about investment priorities a little bit? Obviously, your margin guide -- EBITDA margin guide shows some nice operating leverage again in '26. But what areas do you expect to be spending relatively more? You're probably going to get some savings, not supporting Tile at brick and mortar, but any other areas you expect to maybe spend relatively less in '26? And Russell, I heard you comment on the Nativo margin being quite strong. But just compared to the nearly 90% gross profit margin you've been seeing in other revenue, can you give us kind of some sense of range we should be thinking about as you layer in revenue share to your publishing partners with the acquisition?
Lauren Antonoff: Russell, do you want to take this one?
Russell Burke: So I'll answer the first part of your -- the later part of your question first, Rob. In terms of margins, yes, we were -- had very strong margins in the early part of the Life360 advertising business because we were only delving in one part of that advertising ad tech stack. And it was a digital piece that really had very little sort of flow-through costs. But even when we bring in a broad range of addressing all of that stack, the margins will still be very strong, call it, in the sort of mid-70s range in terms of gross margins. So that is -- definitely continues to be a high-margin business for us.
Robert Sanderson: Great. And more of a sales investment this year, tech investment, both or anything you could call out in areas you'd like to spend more and invest more?
Russell Burke: Yes. Look, I mean, I think in terms of investments, it is the range of things. We have a lot of initiatives on the product road map that we'll be investing in. We've talked about Pet GPS. We're very much in testing mode for that. We want to roll that out aggressively. That is an acquisition vehicle for subscription. So that has a cost upfront that we really return over a period of time with subscription. And investing in international is going to be important for us in 2026.
Raymond Jones: Next, I'd like to open up to Eric Choi from Barrenjoey.
Eric Choi: I just had a quick question on FY '26 revenue guidance, probably for Russell. Just a couple of components I was just struggling with, and I've probably done it wrong. But just on the subscription revenues, nominally, you're guiding to $96 million of growth in FY '26, and you did $91 million already in FY '25. And you've also called out you're entering 2026 with accelerating PC growth. So just wondering on that piece, what I'm missing? And then on the other revenue, very helpful, Russell. You told us Nativo is worth $63 million. So if you back that out of your implicit FY '26 guidance, like that other revenue bucket did $32 million of growth in '25 and you're guiding for that to do $20 million or less in '26. I'm just wondering on those 2 pieces. Is it just conservatism or am I missing something?
Russell Burke: Let me try and address both of those quickly, Eric. We are definitely seeing acceleration in PC growth in '26. That's a flow-through, the momentum that we're getting from '25 as we continue to really optimize that channel. So we do expect to see volume increases. We're not assuming that there's much in the way of price increases specifically in '26 because we want to deliver that value first. And when you look at that sort of straight dollar comparison from year-to-year, what I would say is that '24 benefited from fairly significant price increases flowing through. So it's not quite apples-to-apples to compare the dollar sort of increases year-to-year, but we are expecting 30% revenue growth in '26. And then in terms of the other revenue piece, what I would note is as I said, the majority of that $63 million will carry over. There's definitely pieces that we will decide not to do as Life360. So I wouldn't strip out the whole of that. When you look at our guidance for other revenue, including Nativo, I guess it's something like 120% increase. But even using that sort of $63 million, we're in the range of 30% increase as a base case, but it will be more than that because, as I say, not all of that $60 million will carry through.
Raymond Jones: Next, I'd like to open it up for Lindsay Bettiol from Goldman Sachs.
Lindsay Bettiol: Yes. I was just going to continue on from Eric's question actually just on this other revenue guidance. So if I take the -- I mean it's $140 million to $160 million range, if I take the bottom end of that range, take away Nativo, which is circa $60-ish million, let's say, take away $30 million for data, you end up with like the implied kind of advertising contribution is somewhere between $45 million and $65 million is kind of my math. You've just exited doing $16 million in Q4. So I know you're going to probably tell me some of that is seasonality. So I guess my question is like how much of Q4's $16 million should we attribute to seasonality? And like I said, just continuing kind of Eric's question is like it does feel a little bit conservative that you're exiting $16 million a quarter and guiding to something like $40 million for the full year. So just help us understand that, please.
Lauren Antonoff: Russell, you take this one.
Raymond Jones: Russell, I think you're on mute.
Russell Burke: Typical Zoom problem. Lindsay, I would end up sort of saying something of the same thing. I wouldn't back out the whole 63 because there are pieces of that, that won't carry over. And it's sort of very much a base case from our perspective. There's a lot of work to do in the integration in the first half, and we definitely sort of see that growing and ramping quite quickly in the second half. But yes, it is, as we said, very much a seasonal business at this point. So even Q4 for last year had a good element of seasonality there.
Lindsay Bettiol: Sorry, just continuing the question. Is there a way to put a finer point on that? Like the $16 million in Q4. Could you give us like what percentage or what proportion of that is seasonality? Is it that easy to break out?
Russell Burke: It's really not that easy, but it's going to be more than sort of 30% of that number.
Raymond Jones: Next, I'd like to open up to Chris Savage.
Chris Savage: Lauren, probably more one for you. Have you completed the relocation of manufacturing for Pet GPS? And is there any update on the launch of an elderly tracking device, please?
Lauren Antonoff: Right. It has taken us a little bit longer than we expected. We got stuck on some customs back and forth, but we are largely through that and we're almost done with moving Pet GPS. We haven't yet moved Tile. We're a little bit in wait and see as tariff policy is moving around. And then -- sorry, what was the second part?
Chris Savage: Chris always spoke about potentially a launch of an elderly tracking product.
Lauren Antonoff: Got it. That's something that's going to take a little bit longer. So we're starting our way in elderly -- in aging parents really focused on bringing them into our ecosystem, and we're working on devices for the future, but we don't expect to launch those this year.
Raymond Jones: And this will be our last question. So we're running up on time from [ Annabel Kuhn ].
Unknown Analyst: One final one on advertising. Yes, you saw that quite significant acceleration in Q4. Obviously, part of that is seasonality. A part of that is with the new advertising products that you have released just with the Life360 platform. Maybe could we actually sort of dive into like particular advertising products you have in market right now with the platform? And then maybe could you give some like more granular examples of the advertising products you're going to have with the Nativo platform integrated in the second half?
Lauren Antonoff: I think that's a long question. It may need an Investor Day. So just at a high level, I think one of the things that you saw hit in Q4 is the relationship that we have with some of our direct deals. And so that isn't necessarily a branded product like Uplift or something like that. We did introduce a couple of new products last year. And I expect with -- now that Nativo is with us, we'll sort of formulate how we describe that as a product, but it's probably a longer discussion than we have now.
Raymond Jones: And with that, we're going to conclude our Q&A, and I'm going to turn it over to Lauren for closing remarks.
Lauren Antonoff: Well, I am really proud of what the team has built and super excited for what we're going to deliver in 2026. So thank you all for joining us, and we'll see you next time.